Unidentified Company Representative: Thank you very much for attending our briefing on the financial results for Q3 FY ending March 2025, which was announced today. Here are the topics I am covering today. Firstly, financial results for Q3 FY ending March 2025. Page 4 shows the key Q3 takeaways. Nine month results show a significant improvement in domestic IT services and Aerospace & National Security Business. Revenue was ¥2312.8 billion and non-GAAP OP was ¥162.3 billion. Excluding the impact of JAE deconsolidation, revenue increased 4.5% year-on-year and non-GAAP OP increased by ¥75.9 billion surpassing our expectations. Considering such progress to date, we made an upward revision to our full year forecasts. Non-GAAP OP is revised to ¥280 billion, an increase of ¥25 billion from the previous forecast. Page 5, summary of key figures. Page 6, results by segment. The details will follow, but please note that, both revenue and OP increase in IT services and social infrastructure. In others, both revenues and OP decline, but this was due to the deconsolidation of JAE. Factoring in all these elements, adjusted operating profit landed at ¥150.2 billion, up ¥53.2 billion year-on-year. Page 7, year-on-year change in adjusted non-GAAP operating profit. Adjusted OP for FY ending March 2024 was ¥97 billion and non-GAAP OP was ¥99.4 billion. Starting from this point, as you can see here, there was a significant improvement in IT services and social infrastructure, which resulted in a ¥75.9 billion improvement in marginal profit. Having posted minus ¥12.9 billion for the deconsolidation of JAE, non-GAAP OP for the first nine months of FY ending March 2025 resulted in ¥162.3 billion. Non-GAAP adjustment items totaled ¥12.1 billion, which includes ¥8.3 billion restructuring related expense incurred in Q3 and ¥3.8 billion recorded in the first half. Under such backdrop, adjusted OP ended at ¥150.2 billion. Please refer to Pages 25 and 26 of the appendix for non-GAAP OP adjustment items. Page 8 is the first slide on segment. Firstly, IT Services. Excluding NEC facilities, domestic revenue increased 7% and that of international DGDF business rose 8%, showing a favorable trend. Adjusted OP increased significantly due to improved profitability both in Japan and overseas, in addition to increased profits from higher revenue projects. Page 9, domestic IT services booking status. Excluding NEC facilities, overall domestic IT services increased 9% year-on-year, indicating continued strong demand. By service area, orders for public services increased 36% year-on-year in the third quarter, following the momentum of Q1 and Q2, mainly driven by the municipal government's platform standardization projects. Enterprise continued to see robust demand in all business domains. Finance and retail services sectors decreased due to a reversal effect from the previous year. However, the pipeline of projects remains strong. Manufacturing increased 13% due to completing a round of practice of selecting orders based on profitability and an increase in DX related projects. ABeam Consulting also continue to perform well, registering a 10% increase. Page 10, Social Infrastructure. Despite one-off gains and losses, Telecom Services posted an increase due to cost reductions, mainly in development area. Details are shown in the following slide. ANS achieved a significant increase in both revenue and profit through steady execution of projects at hand. Page 11, next is details of telecom services. This shows the variance from last fiscal year for the nine month accumulated adjusted operating profit. For submarine systems, costs have increased due to schedule delays with multiple existing projects. These projects will complete during this fiscal period. To improve quality for the overall business, we have already reviewed contract conditions and processes for new contracts and anticipate a recovery to normal profit ratio next fiscal year and onwards. Other than that, operational improvements and cost efficiency is progressing smoothly and due to one-off gains, we see a significant upside. Next is financial forecast for fiscal year ending March 2025. Page 13 illustrates financial forecasts for FY '25 March. As mentioned in the beginning, we have amended our forecast. Revenue forecast has been updated by ¥40 billion vis-a-vis our initial forecast to ¥3,410 billion. Adjusted operating profit is ¥260 billion, an increase of ¥5 billion. Non-GAAP operating profit will be amended by plus ¥25 billion to ¥280 billion. Non-GAAP net profit will now be ¥182 billion and increase by ¥17 billion. Page 14 shows changes in adjusted and non-GAAP operating profit. From our forecast of ¥255 billion on October 29, we have now reflected a total of ¥25 billion upside mainly around IT services and will increase non-GAAP operating profit to ¥280 billion. As for non-GAAP adjusted items, adding to our Q3 accumulated ¥12.1 billion, we have also incorporated a total ¥20 billion assuming structural expenses et cetera. Page 15 is a breakdown by segment. Each segment will be explained in the following pages. Page 16 is IT services. Overall IT services revenue is ¥2,030 billion, an increase of ¥80 billion. Adjusted operating profit will be amended to ¥212 billion and increased by ¥20 billion. Domestic IT services led by favorable public services will reflect increases in both revenue and profit gains and amended upwards by ¥20 billion for adjusted operating profit. International DGDF in consideration of the weaker yen will only change revenue. Page 17 is social infrastructure. Overall revenue is minus ¥40 billion amounting to ¥1,130 billion. Adjusted operating profit will be updated to ¥95 billion, a ¥6 billion minus. Telecom Services reflects the possible risk of unable-to-attain targets for 5G and submarine systems. ANS takes into account progress until Q3 and reflects an increase in revenue and profit. Lastly, topics. Page 19. Today, we have decided to conduct a share split. In order to create an easier investment environment for investors, on April 1st this year, we will execute a share split at a ratio of five shares for one and reduce the investment unit. Page 20 is about Blue Stellar. Blue Stellar sales are accelerating and cumulative nine month sales have increased by 26%, since the previous year and is expected to surpass the annual plan. As for respective projects, capturing demand for standardization among local governments and orders for government cloud operation support services have been strong. Further, orders for security operations and dashboards started from consultations and data-driven management scenarios modeled based on in house use cases have expanded. This will conclude my explanation. Thank you for your kind attention.
End of Q&A: